Operator: Good day, ladies and gentlemen and welcome to the Garmin Ltd. Fourth Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] I would now like to introduce your host for today's conference, Ms. Teri Seck, Manager of Investor Relations. Ma'am, you may begin.
Teri Seck: Good morning. We'd like to welcome you to Garmin Ltd.'s fourth quarter 2018 earnings call. Please note that the earnings press release and related slides are available at Garmin's Investor Relations site on the Internet at www.garmin.com/stock. An archive of the webcast and related transcript will also be available on our website. As a reminder, we adopted the new U.S. GAAP revenue standard in the first quarter of 2018. The prior periods presented here have been restated to reflect adoption of this standard. This earnings call includes projections and other forward-looking statements regarding Garmin Ltd. and its business. Any statements regarding our future financial position, revenues, earnings, gross and operating margins and future dividends, market shares, product introduction, future demand for our product and plans and objectives, are forward-looking statements. The forward-looking events and circumstances discussed in this earnings call may not occur and actual results could differ materially, as a result of risk factors affecting Garmin. Information concerning these risk factors is contained in our Form 10-K filed with Securities and Exchange Commission. Presenting on behalf of Garmin Ltd. this morning are Cliff Pemble, President and Chief Executive Officer; and Doug Boessen, Chief Financial Officer and Treasurer. At this time, I would like to turn the call over to Cliff Pemble.
Cliff Pemble: Thank you, Teri, and good morning, everyone. As announced earlier today, we finished 2018 strong with revenue for the quarter increasing 4% over the prior year to $932 million. Aviation, marine, outdoor and fitness collectively increased 13% over the prior year. Gross margin improved to 58.9%, driven by both product and segment mix. Operating margin improved to 23.9% and operating income increased 21% over the prior year. These results generated GAAP EPS of $1 and pro forma EPS of $1.02 in the quarter, an increase of 26%. Looking briefly at full year performance. 2018 was our third consecutive year of revenue and operating income growth. We launched many innovative products, some of which have become halo products in their respective markets. I will highlight accomplishments in each of our business segment in a moment. But looking back at 2018, I'm very pleased with everything we accomplished. For the year, revenue increased 7% to over $3.3 billion. Combined revenue from aviation, marine, outdoor and fitness increased 16%. Gross margin improved to 59.1%. Operating margin improved to 23.3% and operating income increased 14%. This resulted in GAAP EPS of $3.66; and pro forma EPS of $3.69, an increase of 22% over the prior year. The growth in EPS and cash generation gives us confidence in proposing an 8% increase in the quarterly dividend. We shipped nearly 15 million units during the year bringing our total to over 205 million since inception, which includes over 1 million certified aviation products. Doug will discuss our financial results in greater detail in a few minutes, but first I would like to highlight some achievements from the past year and outlook in each of our five business segments. Starting with aviation. Revenue increased 20% driven by growth in both aftermarket and OEM product categories. ADS-B continues to be a driver of solid performance in the aftermarket, while new platforms and favorable market conditions led the growth in the OEM category. Gross and operating margins were 75% and 34% respectively and operating income increased 33% over the prior year. During the year Tactical Air selected us to equip their fleet of F-5 fighter aircraft, which is the second program win for our tandem integrated flight deck. Also during the year we were recognized by Airbus helicopters and Embraer as outstanding Supplier of the Year. And most recently, Garmin was ranked number one in avionics product support by Professional Pilot magazine and by Aviation International News for the 15th consecutive year. The recognition we are receiving is significant, because the aviation industry demands strong performance from those that participate in the market. I congratulate our team on earning these awards, which is a testament to the quality of Garmin equipment and the amazing way our associates care for our customers. Looking ahead, positive market conditions, contributions from new products and platforms and ADS-B provide growth opportunities in both OEM and aftermarket product categories. With these things in mind, we anticipate revenue in the aviation segment will increase approximately 10% in 2019. Looking next at marine. Revenue increased 18% driven by strength in a broad range of product lines. During the year, we launched Panoptix LiveScope, a sonar system that generates real-time video-like images underwater. LiveScope was quickly recognized by the marine industry as disruptive new technology and has become a halo product in our marine portfolio. Gross and operating margins improved to 59% and 14% respectively, and operating income increased 26%. We recently introduced new versions of our flagship GPSMAP and echoMAP chartplotters, which included a new map combining the best of Garmin and Navionics content. This marks the achievement of a major objective we established for the Navionics acquisition. We continue to gain market share in the OEM category. During the year, we were named as an exclusive supplier to several boat manufacturers. We enter 2019 confident in our portfolio of strong product, such as, Panoptix LiveScope and our flagship GPSMAP and echoMAP series. We anticipate revenue in the marine segment will increase approximately 10% for the year. Turning next to outdoor. Revenue increased 16% on strong demand for outdoor adventure watches, golf products and inReach subscription services. Gross and operating margins were 65% and 36% respectively, and operating income increased 16% over the prior year. During the year, we built on the momentum in the adventure watch category with the introduction of the fēnix 5 Plus series with streaming music, built-in maps and mobile payments. We also extended the category with the introduction of Instinct and Descent. Looking ahead, we anticipate revenue in the outdoor segment will increase approximately 10% in 2019, driven primarily by growth in watches and inReach subscriptions. Looking next at fitness. Revenue increased 13% driven by growth in all product categories. Gross and operating margins were 55% and 21%, respectively and operating income increased 24% over the prior year. In 2018, we launched new music-enabled wearables and added seven music providers into our Connect IQ app store including Spotify, Deezer, and KKBOX. Lastly, we signed an agreement to purchase Tacx, a leading provider of indoor bike trainers and we expect this acquisition to be completed sometime in the second quarter. In 2019, we anticipate revenue growth of approximately 13% which includes the acquisition of Tacx as well as organic growth within the segment. Looking finally at the auto segment, revenue decreased 19% for the full year due to the ongoing decline of the PND market and lower auto OEM sales driven by program timing. Gross and operating margins were 43% and 6%, respectively. Our global PND market share remains very strong and at the recent Consumer Electronics Show, we announced our new Drive PNDs with simplified road trip-ready features. In the OEM category, we were awarded new business that will contribute starting in 2020. Looking at 2019, we anticipate revenue will decrease approximately 18%, driven by the ongoing decline of the PND market as well softness in OEM due to program timing mentioned earlier. In summary, we began our 30th year of operations with opportunities in all segments. We anticipate revenue of approximately $3.5 billion, up 5% year-over-year. Our plan calls for stronger growth in the second half of the year due to the timing of product launches. We anticipate gross margin of approximately 59.5% and operating margin of approximately 22.7%. We anticipate a full year pro forma effective tax rate of approximately 16.5% resulting in pro forma earnings per share of approximately $3.70. That concludes my remarks. Next, Doug will walk you through additional details on financial results. Doug?
Doug Boessen: Thanks Cliff. Good morning everyone. I'll begin my review in our fourth quarter and full year financial results with comments on the balance sheet cash, flow statement, and taxes. We posted revenue of $932 million for the fourth quarter, representing 4% increase year-over-year. Gross margin was 58.9%, 280 basis point increase from the prior year. Operating expense as a percentage of sales was 35%, a 70 basis point decrease from the prior year. Operating income was $223 million, a 21% increase with the prior year. Operating margin was 23.9%, a 350 basis point increase from the prior year. Our GAAP EPS was $1. Pro forma EPS was $1.02, a 26% increase from the prior year. Looking at full year results, we posted revenue over $3.3 billion for the year, representing a 7% increase year-over-year. Gross margin was 59.1%, 150 basis point increase from the prior year. Operating expense as a percentage of sales was 35.9%, a 20 basis point increase from the prior year. Operating income was $778 million, a 14% increase over the prior year. Operating margin was 23.3%, an increase of 140 basis points from the prior year, driven by the increase in gross margin. Our GAAP EPS was $3.66. Pro forma EPS was $3.69, a 22% increase from the prior year. Next, look at fourth quarter and full year revenue by segment. During the fourth quarter, we achieved double-digit growth in three of our five segments led by the Outdoor segment with 25% growth, followed closely by the Aviation segment with growth of 22%. For the full year 2018 we achieved 7% consolidated growth with double-digit growth in four of our five segments. Looking next to fourth quarter revenue and operating income. Collectively, the Aviation, Marine, Outdoor, Fitness segments contributed 84% total revenue in the fourth quarter 2018 compared to 77% in the prior year quarter. Outdoor grew from 23% to 27%. Aviation grew from 14% to 17%. You can see from the charts it illustrate our profit mix by segment. The Aviation, Marine, Outdoor and fitness segments collectively delivered 97% operating income in the fourth quarter 2018 compared to 88% in the fourth quarter of 2017. Outdoor operating income as a percentage of total operating income increased from 40% to 43%. Looking next at full year charts. For the full year, the Aviation, Marine, Outdoor, Fitness segments made up 81% of total revenue compared to 75% in 2017. A similar shift occurred in operating income with 95% in 2018 operating income collectively coming from the; Aviation, Marine, Outdoor and Fitness segments compared to 88% in 2017. All segments besides Auto had a year-over-year increase in both operating income dollars and operating margin. Looking next at operating expenses. Fourth quarter operating expenses increased by $6 million or 2%. Research and development increased $12 million year-over-year due to investments in engineering resources. Our advertising expense decreased $4 million in the prior year quarter representing 5.9% of sales, 60 basis point decrease.  Decrease was primarily due to lower media spent in the fitness segment. SG&A decreased $3 million compared to prior quarter with 13.5% of sales, 90 basis point decrease compared to prior year. Decrease was due to prior year litigation-related costs partially offset by increased personnel-related expenses. A few highlights from the balance sheet, cash flow statement and dividend payments. We ended the quarter with cash and marketable securities of approximately $2.7 billion. Accounts receivable increased sequentially to $570 million, due to holiday quarter and decreased year-over-year due to timing of cash receipts. Inventory balance increased both sequentially and year-over-year to $562 million. During the fourth quarter 2018, we generated free cash flow of approximately $185 million. For the full year 2018, we generated free cash flow of approximately $764 million, a $243 million increase to the prior year. We announced that we plan to seek shareholder approval for our increased dividend beginning for the June 2019 payment. Proposal is a cash dividend of $2.28 per share, $0.57 per share per quarter, 8% increase from our current quarterly dividend of $0.53 per share. For the full year 2018, we recorded an effective tax rate of 15.7%, 520 basis point decrease from the prior year primarily due to benefits from U.S. tax reform. We expect our full year 2019 pro forma effective tax rate to be approximately 16.5%. The year-over-year increase in 2019 pro forma effective tax rate is primarily due to lower expected reserve releases compared to 2018. This concludes our formal remarks. Channel, please open the line for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Robert Spingarn of Credit Suisse. Your line is now open.
Q – Robert Spingarn: Good morning. Very good numbers guys. I wanted to ask you just on the -- to start with on the margins, on the gross margins Cliff or Doug, how do we think about that improvement considering volume mix pricing those three factors and anything else that I should be throwing in there?
A – Cliff Pemble: On the year, our margin improvement is primarily segment-driven mix. On the quarter, it's both segment and product mix.
Q – Robert Spingarn: And then -- go ahead Doug.
A – Doug Boessen: Yes. We did see some improvement in the outdoor gross margin year-over-year for the quarter as primarily due to Cliff mentioned product mix higher percentage of wearables year-over-year and also some improvement in the marine gross margin also due to product mix.
Q – Robert Spingarn: And are there any pricing trends at work here that we should think about? Or is pricing stable? Or do you see any kind of moderation as technology gets -- with competition and technology somewhat matures?
A – Cliff Pemble: Yes. Competition is obviously still a factor especially around holiday promotion times. Our product life cycles within the various segments do also have an impact particularly in outdoor where we had the new fēnix watches for most of the year. So going forward I think all those things are dynamic. We would anticipate just following the market and doing the best we can.
Q – Robert Spingarn: Okay. And then just on the sales guidance. The sales guidance is a little bit short of what you delivered in 2018. But then again you did better in 2018 than you initially guided. You did 7.5% against I think the original guidance of about 3%. Is this just typical conservatism? Or are there any fundamental elements that we should really be thinking about for example maybe ADS-B activity fading as we get into 2019 or anything else across the segments we should be thinking about?
A – Cliff Pemble: I think the segment level guidance speaks for itself. I think that in terms of our overall guidance, we spend a lot of time on that and we’ve articulated the road map that we believe we can deliver. So that's really what goes behind our guidance at the beginning of the year. There's still a lot of the year ahead of us. So as things develop of course we'll update. But right now that's our view and our road map.
Q – Robert Spingarn: Thank you, very much.
A – Cliff Pemble: Thank you.
Operator: Thank you. Our next question comes from the line of Ronald Epstein of Bank of America Merrill Lynch. Your line is now open.
Q – Caitlin Dullanty: Hi guys. It's Caitlin Dullanty on for Ron Epstein today. My first question is can -- how did the U.S. government shutdown affect the ADS-B upgrades? Did you encounter any delays? And if so, should we expect to see a pickup of pent-up demand going into 2019?
A – Cliff Pemble: Yes. We really didn't see any impact from the shutdown on ADS-B itself. I think that there's lots of puts and takes at the shop level of the industry, so I wouldn't say that there was zero impact. But it was hard to detect at least from the activity that we saw. And so going forward, I don't think there's a major wave that comes through because of the reopening. We expect that the upgrades will continue strong into 2019 because there's still quite a few aircraft to equip and shop capacity is still a factor.
Caitlin Dullanty: Okay, thank you. That's very helpful. And then can you talk a bit about how the two new product launches such as the Instinct watch and the GPSMAP 66 handheld contributed to outdoor growth in the quarter?
Cliff Pemble: Yeah. Instinct really opened a new category product for us, a new kind of customer, so we view that as a new opportunity within the overall wearable. And the GPSMAP was a refresh of our product line and so whenever we do that we're able to capture people who upgrade and people who are looking for new features and products that they might already have. So, kind of, a new product refresh out there.
Caitlin Dullanty: All right. Thank you so much.
Cliff Pemble: Thanks, Caitlin.
Operator: Thank you. Our next question comes from the line of Charlie Anderson of Dougherty & Company. Your line is now open.
Charlie Anderson: Yeah, thanks for taking my questions and congrats on a really strong 2018.
Cliff Pemble: Thank you.
Charlie Anderson: Cliff, I wanted to start with a question on auto. So PND continued its current rate of decline, which looks like it's in kind of the low 20% range. I realize that you have some program timing that's impacting OEM right now. But you do have BMW, Geely and others coming in later. I think you've also referenced in the past that you have some unannounced wins. I wonder how should we think about that business over the next few years. Is there a point, at which it stabilizes or even grows? And then I've got a follow-up.
Cliff Pemble: Yes, we believe there's a plan. We're definitely -- we'll stabilize and grow.
Charlie Anderson: Can you speak to -- if that's something we could consider on the 2021-2020 time frame or any more color there?
Cliff Pemble: Well, it's a little early to talk about 2020, but I would say consistent with the remarks that we made earlier that many of the programs we've talked about start to hit in 2020, and so that will be a key year for us and looking forward as well as we have additional programs that come online.
Charlie Anderson: Okay, great. And then on aviation, I wonder what are some of the key assumptions you guys are making this year as it relates to the ADS-B rollout to any degree do you think it spills over into 2020? And then a post-ADS-B world, how should investors think about the growth within the aviation category? Thanks.
Cliff Pemble: Yeah. Our outlook today is very similar to what we provided back in July. We are seeing that based on run rates we have today that we would have about 100,000 aircraft equipped by the time the mandate takes effect. And looking into 2020, I would say that there still appears to be opportunity for additional aircraft that come online either due to the fact that they weren't able to get into shops or perhaps they're just lagers in terms of overall buying behavior.
Charlie Anderson: Great. Thanks so much.
Cliff Pemble: Thanks, Charlie.
Operator: Thank you. Our next question comes from the line of Rich Valera of Needham & Company. Your line is now open.
Rich Valera: Thank you and congratulations from me on a strong 2018 as well. Just wanted to follow-up on the ADS-B question. Can you give us any sense of the revenue level you're seeing from ADS-B-related retrofits right now and how you think that trends into 2020?
Cliff Pemble: It's probably a little hard to quantify because we are seeing customer step up to additional equipment when they bring their airplanes in for modification. I think that's critical, because it shows that customers they realized that the effort it takes to put the equipment in is significant, and so they want to take advantage of all of the potential features and opportunities they can have with the latest equipment. So consequently we're seeing improvements in a lot of our retrofit product lines in addition to ADS-B.
Rich Valera: I guess I understood, but to the degree that you're getting all the sort of pull-through from ADS-B-related activity in 2019 and then that was to significantly decrease in 2020, it would seem you could have almost the reverse effect. So just trying to think about how to think about 2019 versus 2020 given you expected high level of ADS-B in 2019?
Cliff Pemble: Well we're not ready to provide a lot of color around 2020 yet, because we still have a lot of 2019 to play out when it comes to the mandate. But we said all along that certainly there will be a drop-off as people become equipped. And the way we see it today there will still be sales that occur into 2020, but the level of those sales and the impact in the pull-through that comes with those is still unknown.
Rich Valera: Fair enough. And I wanted to ask one on Tacx if I could, interesting acquisition there. First, I was wondering if you'd be willing to give the expected revenue contribution from Tacx either on an annualized basis or in however many months you expect to have that acquisition with you in 2019?
Cliff Pemble: Well from our guidance, we would say that about half of the growth that we're projecting in fitness is due to Tacx and based on our projected closing date. So those are the assumptions we made so far.
Rich Valera: And can you share that projected closing date?
Cliff Pemble: I think there's still a lot to happen, so we don't really have a specific yet, but we expect it to be sometime in second quarter.
Rich Valera: Got it. And then, is there anything else you're looking to do with Tacx from an integration with some of the Garmin software or other Garmin products? I'm just thinking what else -- what are the types of things you could do with Tacx, once you get that as part of the sort of Garmin portfolio?
Cliff Pemble: Well we built a very solid cycling business based on outdoor cycling activity and so Tacx allows us to bring cycling indoors and allows us to integrate across our platforms both in terms of head units as well Garmin Connect. So we see a lot of opportunities and synergies that we can work together with Tacx in order to better serve the overall cycling market.
Rich Valera: Got it. And one more if I could. Can you give a marine organic growth number for 4Q 2018, if we were to back out some of the recent acquisition impact?
Cliff Pemble: Yes. For the fourth quarter the vast majority was organic growth about three quarters of it and maybe about 25% of that was Navionics.
Rich Valera: Got it. Thanks very much.
Cliff Pemble: Thank you.
Operator: Thank you. Our next question comes from the line of Yuuji Anderson of Morgan Stanley. Your line is now open.
Yuuji Anderson: Good morning. Thanks so much for taking the question. First, I wanted to follow up on the previous outdoor question that was asked. Just looking at Q4 and just concerned the acceleration year-over-year. Can you just give us a better idea of how much of that was a contribution from the new product that you cited there versus performance of the underlying -- or performance of the older Fenix watches for example?
Cliff Pemble: Well definitely the new products like Instinct and Descent contributed totally new dollars to us, but we still saw strong growth for the year and for the quarter in our Fenix line as well.
Yuuji Anderson: Got it. That's helpful. And then on the operating margin guidance, so it is a tick down from 2018. I guess when we look at this longer term, should we be thinking of the company as kind of hovering around this low- to mid-20 percentage range? Or should we just think of 2019 as being particularly investment-heavy and we should expect more meaningful operating leverage in the outer years?
Doug Boessen: Yes. So this is Doug. Let me give you a little perspective probably on operating expenses and the gross margin and kind of feed into that. So for the gross margin, we do expect that to tick-up a little bit, that's primarily all due to segment mix. And then as it relates to operating expenses for 2019, we would expect operating expenses to increase on a consolidated basis similar level as it did in 2018, probably maybe as a percentage of sales maybe 100 basis points increase year-over-year. And about -- I should also mention that, about 25% of that year-over-year increase in our operating expenses were attributing primarily to the acquisition of Tacx -- acquisition there. And looking at -- maybe a little more granularity on each one of the expense lines, as it relates to advertising; our goals for 2019 or as a percentage of sales to look at advertising to be relatively comparable as a percentage of sales in 2018. We do expect R&D investments to continue probably -- maybe as a percentage of sales probably a 50% increase there -- basis point increase. And then SG&A expect that to increase year-over-year maybe about a 50 basis point also. But we do continue to make investments in our business on a go-forward basis to drive the top line.
Yuuji Anderson: Great. Okay. That's very helpful. And then just one more quick one if I may. On the Aviation guidance at this point, are you building in new production from OEM design such as Citation Longitude? And I guess just more broadly, like how do you build in the production ramp for new platforms such as that versus what those OEMs might be saying publicly? Like can you give yourself room for potential upside, if things don't track according to what they're saying publicly?
Cliff Pemble: Yes. So we do have new platforms such as Longitude in our plan. We work closely with the teams at our partners such as Textron to plan for -- basically create our plan around their plan. And so that's what we've done. And I can't really comment in terms of our views versus theirs, but we're ready to support their launch and rollout.
Yuuji Anderson: Okay. Thank you so much.
Cliff Pemble: Thank you.
Operator: Thank you. Our next question comes from the line of Paul Coster of JPMorgan. Your line is now open.
Paul Coster: [Technical Difficulty] encouraging. Can you talk a little bit about the sort of macro-environment that you're assuming for that both domestically and internationally?
Cliff Pemble: Yes. Sorry Paul, I think your question broke up during the first part. So if you wouldn't mind to repeat that then we'll try to tackle it.
Paul Coster: Just asking with regard to the 2019 guidance what kind of macro assumptions, you've made both domestically and internationally?
Cliff Pemble: Well I think we're assuming what all people are kind of steady state the way things are right now. I think aviation and marine are segments that are definitely very sensitive to the macro-environment. So our outlook there assumes that we're going to continue to see recently favorable conditions to support those markets.
Paul Coster: If the China-U.S. trade dispute is resolved amicably what kind of impact does that have if any?
Cliff Pemble: Well, I think to the extent that it improves the situation in the China market itself it could positively impact us. But China is a challenging area, just in terms of the overall global economy. And our revenue exposure there is somewhat small. But on the other hand we still are looking for growth opportunities in the Asia market.
Paul Coster: Okay. Great. Got it. And then my last question is on the halo products, which you referred to. Can you just talk to us what you mean by halo? I think, I can guess. But how does it mobilize the rest of the sort of product lineup and marketing? And what's the broader takeaway for us in terms of the technical approach to your business?
Cliff Pemble: Yes. The example we gave was Panoptix LiveScope, and as we've been mentioning since LiveScope was launched that it is disruptive technology. Marine people and fishermen view it as something that truly doesn't exist anywhere else, and so it casts a positive glow across the marine segment and additional pull-through sales of our other equipment as well. So that's what I call a halo product.
Paul Coster: Okay. All right. Thank you.
Cliff Pemble: Yeah. Thank you.
Operator: Thank you. Our next question comes from the line of Ivan Feinseth of Tigress Financial Partners. Your line is now open.
Ivan Feinseth: Thank you for taking my call, and big congratulations on another great quarter and a great 2018.
Cliff Pemble: Thanks, Ivan.
Ivan Feinseth: My question is about Tacx. It's a really exciting acquisition. And can you give us some of the insight to how it came to be and then like your big picture view as far as distribution and branding and how it's going to be integrated and how their product lines could be integrated into Garmin?
Cliff Pemble: Yes. So we've been working to build relationships across the industry and we did reach out to Tacx and introduced ourselves and built a relationship with them. They're an awesome company. They're a family-owned company over generations. That's well-run, has a great product line and technology. They're vertically integrated, and so we felt like they were a great fit with our company as well. In terms of how we view them going forward, they have a great brand and it's a brand that we want to support and keep around for the long-term. And we intend to integrate them into our sales in our fitness area. Like I mentioned earlier, they have a strong offering for both indoor and outdoor cycling activities.
Ivan Feinseth: And like how will the products be available? Let's say in the U.S., for example, what will be the distribution channel?
Cliff Pemble: Well, we would anticipate the distribution would be through existing sports retailers. Already the product is available through REI. But there's an opportunity to expand Tacx distribution in the U.S. and Asia market. They're very strong in Europe, but less strong in the U.S. and Asia, so we'll be working to expand that distribution.
Ivan Feinseth: And what about like ramping up the exercise bike and the treadmill and integration? So you’re going to -- I mean, I assume you'll be integrating that to connect with -- monitor your heart and fitness with your smart wearable integrating the FIT Connect IQ App, and also software to monitor your workout? Are you also going to be, let's say, offering online or video classes similar to the Pendleton model?
Cliff Pemble: Well, I probably can't comment on specifics. But like I mentioned earlier, there's many different assets within Garmin and Tacx that we can now look at together and create a much more high fidelity and interesting experience for customers that go both outside and inside. So that's our goal and we have a lot of work ahead of us for sure.
Ivan Feinseth: Very good. Very exciting. Thank you.
Cliff Pemble: Thanks, Ivan.
Operator: Thank you. Our next question comes from the line of Nick Todorov of Longbow Research. Your line is now open.
Nick Todorov: Hi. Thanks. And congratulations guys on a great execution, really great job.
Cliff Pemble: Thanks, Nick.
Nick Todorov: Question on -- Cliff you said that in fitness, I think, you said all of your categories experienced growth in the fourth quarter. Can you kind of give us some data on what portion of your fitness segment is now the basic trackers? Do you see some stabilization in that segment or the trend of switching to smartwatch is still intact?
Cliff Pemble: Yes. So, we did see growth across all of our categories in fitness. The basic category has come down quite a lot as you imagine with the overall market. Where we saw growth was in unique products that we offer such as the hybrid analog smart devices vivomove HR as well as the kid trackers as well. But we see it as a solid category where we offer something unique, so that's where we're investing. And then the overall fitness categories outside of that in advance trackers, we're also strong for the year.
Nick Todorov: Okay. Thanks. And in the fitness guidance aside from the Tacx acquisition contribution you're seeing some really decent product refreshes. I know you don't speak about the upcoming launches, but can you share; at least, in what product line you expect the strongest product refresh on fitness?
Cliff Pemble: I think we have a strong roadmap across all of our lines, so we would expect during the year that we'll have refreshes across the entire portfolio.
Nick Todorov: Okay. And how are you thinking about ADS-B growth per se? Are you baking in any kind of a deceleration year-over-year due to capacity constraints? Or how are you thinking about capacity? Has the picture there changed? Are you seeing anything different?
Cliff Pemble: Yes, we're really not seeing anything different than what we reported midway through 2018. We do see that shop capacity appears to be a factor in limiting the growth of installs. And so on a percentage basis I would obviously represent a deceleration, but again, a lot of demand that still has to be worked through for the year. So, we're working as hard as we can to help our shops get through that and we'll continue to monitor and see how things go into the following year.
Nick Todorov: Okay, great. And last one for me. Doug, how should we think about free cash flow and CapEx in 2019?
Doug Boessen: Yes. So, we had a very strong free cash flow in 2018. The big piece of that was driven by operation, but also we did have some very strong working capital improvements year-over-year. I wouldn't expect to see those -- all of those working capital improvements year-over-year. So, probably for 2019, I'm estimating free cash flow around $675 million. And zoomed in that is about $150 million of CapEx which is a similar level that we had in 2018.
Nick Todorov: Okay, awesome. Thank you. Good luck guys.
Cliff Pemble: Thanks Nick.
Operator: Thank you. Our next question comes from the line of Ben Bollin of Cleveland Research. Your line is now open.
Ben Bollin: Good morning, Cliff, Doug, Teri. Thanks for taking my question. Doug, where are you in the capacity expansion with -- in Olathe for aviation? What's left to do? And where is the utilization of that footprint today?
Cliff Pemble: Yes, I'll probably comment on that Ben. This is Cliff. We are producing aviation products now in our new facility, so that part is up and running. We're still outfitting our distribution center with new equipment in order to turn that on, so we're not yet operating out of the distribution side of the new facility.
Ben Bollin: Okay. And as a follow-up. Longer term the company has executed really well in the broader aviation segment with OEMs. How would you characterize your objectives longer term with commercial opportunities? What's that process look like from start to finish? How long is kind of the training effort of the pilot? And how long is the ramp in spares inventory? I know it's very open-ended question. But could you walk us through what a win could look like or how you think that could translate to opportunity over time? Thanks.
Cliff Pemble: Our objective is to grow share across the whole segment including moving upstream in both business jets as well as getting our foot into the commercial side as well. We do already have some commercial opportunities that we're executing on in terms of some smaller pieces of equipment, but we continue to aspire to and work on additional opportunities to move upstream. It is more intensive activity as you can imagine. And in order to do that we have to invest in ourselves, in our team, in our capacity which are things that we've been doing over the course of the years now. And in terms of actually executing then of course we would have to achieve a very high level of service for our customers in terms of spares and general support for their operations. So these are all things that we're evaluating and making methodical investments in order to be ready.
Ben Bollin: Thank you.
Cliff Pemble: Thank you.
Operator: Thank you. And I'm showing no further questions at this time. I would now like to turn the call over to Ms. Teri Seck for closing remarks.
Teri Seck: Thanks everyone. Doug and I are available for callbacks throughout the day. Have a good one. Bye.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone have a great day.